Operator: Good day, ladies and gentlemen, and thank you for joining us for the TherapeuticsMD’s Second Quarter 2017 Financial Results Conference Call. Following prepared remarks from the company, we will open the call for questions. I would now like to turn the call over to TherapeuticsMD’s Director of Investor Relations, David DeLucia. David?
David DeLucia: Good afternoon, everyone. Thank you for joining today to discuss our second quarter 2017 financial and business results. This afternoon, TherapeuticsMD issued a press release announcing second quarter 2017 financial results. The press release is available on the company’s website thepeuticsmd.com, in the Investors and Media section. On today's call from TherapeuticsMD are Chief Executive Officer, Robert Finizio; Chief Financial Officer, Daniel Cartwright; and Chief Clinical Officer, Dr. Brian Bernick; and Chief Medical Office, Dr. Sebastian Mirkin. I would like to remind everyone that certain statements made during this conference call may be forward-looking statements. Such forward-looking statements are based upon current expectations and there could be no assurance that the results contemplated in these statements will be realized. Actual results may differ materially from such statements due to a number of factors and risks, some of which are identified in our press release and our annual, quarterly and other reports filed with the SEC. These forward-looking statements are based on information available to TherapeuticsMD today, and the company assumes no obligation to update statements as circumstances change. An audio recording and webcast replay for today's conference call will also be available online in the Investors and Media section of the company's website. For the benefit of those who may be listening to the replay or archived webcast, this call was held and recorded on August 3rd, 2017. With that, I'll turn the call over to TherapeuticsMD CEO, Rob Finizio.
Robert Finizio: Thanks, Dave. Good afternoon everyone. On today's call, we’ll review the following developments in our prepared remarks and then open up for questions and answers. Dan will start with a review of our financial results then I'll provide a regulatory update for TX004HR and lastly Dr. Mirkin and Dr. Brian will provide an update for TX001HR. Now, let me turn the call over to Dan.
Daniel Cartwright: Thanks, Rob. Second quarter 2017 financial results are included in the press release issued today. Let me summarize a few key points. Net revenue from the company's prescription prenatal vitamin business was approximately $4.3 million for the second quarter of 2017 compared with approximately $4.4 million for the second quarter of 2016. Total operating expenses for the second quarter of 2017 decreased compared to the second quarter of 2016. These changes primarily reflect a decline in clinical trial cost as completed – as we completed our Phase III trials. R&D expenses during the second quarter of 2017 were approximately $8.7 million compared to approximately $13.8 million during the prior year’s quarter. This change is a direct result of the completion of the replenish trial for TX001HR. SG&A expenses for the second quarter of 2017 were approximately $14.6 million compared with approximately $10.6 million for the prior year’s quarter. This is primarily due to an increase in sales, marketing, regulatory expenditures and personnel costs to support future commercialization. Turning to the bottom line, our net loss for the second quarter of 2017 was approximately $19.7 million or $0.10 per basis and diluted share compared with approximately $21.1 million or $0.11 per basic and diluted share for the second quarter of 2016. Finally, we finished the second quarter of 2017 with approximately $96.5 million in cash compared with approximately $131.5 million at December 31, 2016. As a reminder our cash balance at the end of the first quarter of 2017 was approximately $113.5 million, which equates to a cash utilization of approximately $17 million in the second quarter. We believe our strong financial position will allow us to continue to advance both of our late-stage product candidates towards commercialization. Let me turn the call over to Rob for a regulatory update for TX004HR.
Robert Finizio: Thanks, Dan. On June 14, we participated in a Type A meeting with the division of bone, reproductive and urologic products to discuss the only approvability concern raised in the complete response letter regarding our new drug application for TX004HR and that is a lack of long-term safety data. In this meeting, the FDA acknowledged that quotes through an unintentional oversight, we were not told by the agency during the entirety of our product development to conduct a one-year trial to support the safety of TX004HR. Furthermore, the FDA acknowledged that they have not seen a safety signal in the data of currently marketed VVA products or in our Phase III REJOICE Trial data. Also we presented additional information that we believe could address this long-term safety concerns raised by the FDA and positively affect the status of our NDA. This information was formally submitted to the agency on July 5th, which included the following. Number one, information on what is known as a uterine first pass effect. We're currently marketed estrogen products when placed in the upper third of the vagina can pass the endometrium. This is in contrast to our product, which was specifically designed to be placed in the lower third of the vagina where the uterine first pass effect has not been demonstrated to occur decreasing the likelihood of stimulating the endometrial tissue. Number two; safety data from a very large observational study of long-term and real world users of vaginal estrogens. This data is anticipated to be published in a peer reviewed journal in the near-term. Number three, a draft protocol for a 12-month post marketing safety study of TX004HR. We've recently been informed by the FDA that we'll be receiving an Advice Letter within the next week. We expect this letter will acknowledge if the additional data submitted is material enough to reconsider our NDA along with a timeline for that review. If the decision or timeline is unacceptable to us, we reserve the right to pursue the FDA’s formal dispute resolution process as an alternative path. We look forward to updating all investors in the very near future. In conclusion, we believe that the scientific evidence, our clinical trial results and our unique product design in conjunction with our compromise to conduct a 12-month post-marketing safety study will help to address the FDA’s long-term safety concerns. I’ll now turn the call over to Sebastian to give a clinical update for our second late-stage product candidate, TX001HR.
Sebastian Mirkin: Thanks, Rob. In April 2007, we presented positive top-line results for our replenish trial for TX001HR at the Endocrine Society Annual Meeting. The replenish trial established for the first time the distinct doses of estradiol in combination with progesterone demonstrated both endometrial protection as well as statistically and clinically meaningful reduction in the frequency and severity of hot flushes. Both the estradiol 1 milligram/progesterone 100 milligram and estradiol 0.5 milligram/progesterone 100 milligram demonstrated a statistically significant and clinically meaningful results across the four core primary efficacy endpoints evaluations. In addition, endometrial safety was established in a year one study with an incidence rate of endometrial hyperplasia of 0% across all doses. During this meeting, we also presented secondary endpoints data that showed statistical significant improvement in the total and vasomotor domain scores of the MENQOL questionnaire at week 12 and that efficacy was maintained throughout the call duration of the study. These data will be published in peer reviewed journals in the very near future. Furthermore, five abstracts with key data on additional secondary endpoints included in the replenish trial were accepted for oral presentations at the annual meeting of the North American Menopause Society in October of this year. This data will include additional MENQOL scores, uterine bleeding rates, quality of life, split outcomes as well as the effect on metabolic parameters of TX001HR. Now, let me turn the call to Dr. Bernick for additional details on 001HR.
Brian Bernick: Thank you, Dr. Mirkin. We are excited to move forward with our TX-001HR clinical program and look forward to present in the full replenished clinical trial data at the annual meeting of the North American Menopause Society later this year. We currently have our pre-NDA meeting scheduled with the FDA at the end of August and plan to have our NDA filed in the fourth quarter of this year. Should TX001HR be approved, it would be the first and only FDA approved bio-identical combination of estradiol and progesterone. We continue to cultivate our relationship with the compounding pharmacy community and to date our BIO-IGNITE program has been a resounding success. We continue to develop our relationship with PVPCN to construct appropriate infrastructure for distribution channel into the compounding pharmacy market for our products if approved. This network is one of the country's largest and most esteemed compounding pharmacy networks representing over 300 pharmacies and approximately 1.5 million annual prescriptions of compounded estrogen and progesterone that are directly substitutable to TX001HR. We have also received prescription data from over 400 additional pharmacies representing over 500,000 annual prescriptions of compounded bio-identical estrogen and progesterone that are also directly substitutable to TX001HR. And in conclusion, we recognize that women and physicians continue to choose unapproved compounded bio-identical hormones that are not covered by insurance and are cash pay instead of the FDA approved synthetic hormones that are covered by insurance today. Our company’s goal is to give women what they are already demanding for the management of their menopausal symptoms as an FDA approved bio-identical combination product that is covered by insurance. It gives me great pleasure to see our product candidates’ one step closer to meeting this demand. We will now open the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Esther Rajavelu from Deutsche Bank. Your line is open.
Esther Rajavelu: Hey, guys. Thank you for taking my questions. I have a couple. First for 01, can you explain what push the filing to 4Q versus 3Q? And then I have two more.
Robert Finizio: Sure. Esther, this is Rob. So, first off we spend a lot more time post PDUFA date on 04, which is completely unexpected. And furthermore, we have a pre-NDA meeting with the agency at the end of August and to make sure we don't have another unintentional over say. We want to be absolutely positive that's – because the agency just to be clear is being very accommodating with 04, spending a lot of time and a lot of routines on this which we’re very happy with. So we want to make sure that we go through everything with them before we filed 01 and don't have any unintentional oversights. So it's a combination of those two.
Esther Rajavelu: Got it. And then on the BIO-IGNITE program, can you – it sounds like you guys are making a lot of good progress there. Can you maybe explain some of the terms of the agreements with the compounders that's not confidential?
Robert Finizio: Yeah, so – so it really doesn't matter whether it's a normal mom and pop retail pharmacy, which most compounders are or a large chain, the discount off a whack is the same for every pharmacy. The thing we're doing is we're going in and letting these smaller mom and pop pharmacies that on this business today know that we're not going to – we're not going to do with a lot of the mistakes that previous companies have done and not let them have access to it. And if you saw Mckenna rollout horrible compared to AndroGel very well done. All right, so we want them to know we’re here. We want them to know that this would be FDA approved proven, safe and effective and since they have lost reimbursement on compounded products probably more profitable form. And they are very, very receptive, everybody wins, patient wins, physician wins, and the pharmacy wins. So we think it's a real good value proposition.
Esther Rajavelu: Okay. And then my last question for 04, I just wanted to clarify what you said Rob that…
Robert Finizio: Sure.
Esther Rajavelu: In the Advise Letter that you're expecting over the next week. You do expect to analysis the new data as material enough to warrant a full FDA review.
Robert Finizio: Absolutely…
Esther Rajavelu: Okay.
Robert Finizio: So that – that is something, that is a major catalyst coming here we expect in the next week. So, they have taken the time – the agency has taken the time on our behalf, which we really appreciate to look at this new data. If they find it material enough to formally review for our application, they will give us a path and timeline forward. If they do not feel that way, they probably will not. And once they review that information, they would allow us to re-file or not re-file depending on the outcome. So this is a major milestone for this program, we expect in the next week or so and we really appreciate the agency doing the work for us.
Esther Rajavelu: Thank you very much.
Operator: And our next question comes from the line of Annabel Samimy with Stifel. Your line is open.
Annabel Samimy: Hi, guys. Thanks for taking my question. Just on the last point with regard to your discussions with FDA and whether they're going to review the new data or not, did you confirm with them whether this review – this new data was going to be a full review? I mean is this new data that you presented? So is that another six months that that – again is this new data that you presented? So is that another six months that they're just going to say well we've got new data now. Therefore, we have to add another six months. Or can you just confirm that you've discussed with that potential timelines of the different outcomes would be?
Robert Finizio: Annabel, we don’t know and that's what the Advice Letter will give us. So they realized the lack of clarity that they've given the company and the unintentional oversight previously. So what they're trying to do is give us something in writing that we can hang our hat on, which we really, really appreciate. So, we will get the go, no go whether or not this information, which they're looking at over the past month, is impactful and needs further evaluation here in the next week. If that's the case, we would expect the timeline with it. And then we can certainly answer your question. Right now, if I were to answer, I just be guessing.
Annabel Samimy: Okay, so it’s not what you thought before which is like a technical review in possibly two months and…
Robert Finizio: They could be. No, it could be, Annabel. So let's look at it this way. They're going to need more time because it’s a very large study to review the study information. The first pass I don't think is that significant amount of data and we expect a timeline for that. At the conclusion of that my guess is if they're very comfortable, they would tell us to re-file and if they're not comfortable they would tell us not to re-file. And that timeline for the deeper dive into that very large 20-year observational study as well as some other coordination that they're doing internally is what we're expecting to go, no go on and if it's a go with the timeline. Okay.
Annabel Samimy: Okay, all right.
Robert Finizio: Okay. So then once you re-file, Annabel, which is the next step after they tell you moving forward once you re-file and they've done their work then you get what you're saying class one or class two review. If it's a class one its two months, if its class two its six months. And only they can tell you what that will be.
Annabel Samimy: Okay.
Robert Finizio: Sorry…
Annabel Samimy: All right, then on TX001, I know that you’re trying to be really careful with that one – that one not – making sure that you’re not fine to the same trap with 004. But is there anything that you’re doing specifically with that filing that’s similar to what you had in VVA or is VVA just they’re mutually exclusive and [indiscernible] completely different program altogether.
Robert Finizio: So the good news is we did a one-year endometrial protection study and in the reserve [indiscernible]. Sebastian, just hold you across all the arms. So we use the same sites, which we told you we had 043 in the previous program 04, same pathologist, same statistician, same CRO and so on. So we believe the clean review of 04 is very positive indication for 01. And in addition to that we did do the one-year endometrial study. But to your point, we don't want anymore unintentional oversights. It’s a shock to us, very painful. We know we're going to get through it and we're very bullish on that, but we just want to be absolutely sure with the agency that that's not going to be the case again. So and it's filed. It is solid. And we’ll get there, absolutely.
Annabel Samimy: Okay, great. If I can ask one last question on BIO-IGNITE.
Robert Finizio: Sure.
Annabel Samimy: So you’ve been talking a lot about the compounding pharmacies that you sort of reaching an agreement with already. I think it’s – they cover that $1.5 million and then you identified additional pharmacies that cover about 5,000 prescriptions. Have you reached any agreement with any other compounding pharmacies recently given that obviously you're in pretty late stages of all your regulatory reviews and all your programs? So where are you in that – in that BIO-IGNITE program? And do you have any kind of targets that you can give us?
Robert Finizio: Well, so there's a couple things to say. We just – actually Joe – Joe Auci was just had a very large compounding meeting and we do have a number of other leads. It's just we have a good chunk of the pharmacies that are out there. It's not a high priority right now for us. Once 01 filed and we’re ramping up for launch, it will be a much higher priority. And I don't want to over shut the Street's expectations. So we think for where we are right now in the filing development and what we've announced as far as exceeds the value of our market cap and I think it’s just 20 for now. But I tell you we will be on that like a [indiscernible] we'll get it done, okay.
Annabel Samimy: Okay, great, thank you.
Robert Finizio: Thank you.
Operator: And our next question comes from the line of Jay Olson with Oppenheimer. Sir, your line is open.
Jay Olsonb: Hey, guys. Thanks for taking the questions. With regards to the large observational study recognizing that that was provided to that – that data was submitted to the FDA independently and you have not seen it. Is there anything you can tell us about when we should expect that data to be published?
Robert Finizio: Yeah, thank you for your question. Yeah, the observational studies, will be published soon, it’s going be published soon. That as much has we can say today.
Jay Olsonb: Okay, and then…
Robert Finizio: Yeah, you can go on the website, I believe and look at up and get the same information we have. I think there's more detail there. We just don't want to say that because it gives the impression – some people might think we've seen the data or no more and they don’t – and we just don't. We just don't.
Jay Olsonb: Okay. I understand. And you did mention the possibility of still pursuing the dispute resolution halfway. Is there anything you can tell us about how the timeline for that might look?
Robert Finizio: Absolutely, Jay…
Jay Olsonb: And sorry – and also the circumstances under, which you might pursue that, sorry.
Robert Finizio: Yeah, I really like the question. So if we don't let's say like the timeline in the Advice Latter, we feel we have a very strong case in formal dispute. We really, really do. So if we entered formal dispute, which we're ready to go, it maybe. And we hope that's not the case, but if it is and it's a faster way to get there we'll do it. We would file. It takes a week to get accepted. And once it's accepted by the agency, it would start what they call ODE3, which is office and drug evaluation three, and that is where Dr. Bites is the head of that division. And she would have a review. She just 30-days. There is a hard stop thirty days where she would make her decision. From there if she did not agree with us to do a Phase IV, it will go to the next level up, which is the office of new drugs. And that was previously held by Dr. Jenkins, who recently left. And Dr. Woodcock is the acting director there. And we do not know her personally, but we do know that she is very familiar with estrogens from being the WHI and the primary generics, and the controversy around those milestones. And if she did not agree, it will go to Dr. Gottlieb and we – although I have never met him and the company doesn't know him, we have been watching closely his effort to eliminate duplicative studies. And what he recently did with Amicus, which we believe is a much, much weaker Phase III safety story than ours. And the question I asked when you go through this process is what is the top potential public harm in a Phase IV study for a lower dose first non-systemic only product that is placed in the vagina with no first pass product doing Phase IV where the top seller is 75 times higher. So either this product is not safe to even do a trial, all right, or it's very safe to do the trial, it can't be both, has to be one of the other. And that’s grounds for a formal dispute. And we are confident if we don't – we would come out pretty well. And to answer your question how long all the way that Dr. Gottlieb would be in 90-day total start to finish with three stops, thirty days each process unless we called for a Type A meeting going along, that adds thirty days to it. So we're confident.
Jay Olsonb: Great, thank you. That’s very helpful.
Robert Finizio: Thank you. Again, if that’s needed that, Jay.
Operator: [Operator Instructions] And our next question comes from the line of Bill Tanner from Cantor Fitzgerald. Sir, your line is open.
Bill Tanner: Thanks for taking my question. Rob just as it relates to the Advice Letter that you anticipate getting. So the outcomes could be that the FDA saying we will review the data to see if there's a need for or there's an ability to do things Phase IV study or we're not going to review the data and we're not going to give you the opportunity to do a Phase IV. I mean, what are Phase IV pre-approval…
Robert Finizio: Yeah…
Bill Tanner: So, if that’s it – let me say, let’s say they don’t say, we’re not going to review it, you have to do and let’s say they’re going to say, they will review and they come back with the timeline. Why do you not just skip over that and go straight to dispute resolution or obviously you’ve got another filing coming before the end of the year? Is it something that you really would not want to expend political capital going that way?
Robert Finizio: Yes to all of those. So – but to be clear on the process here Bill, I'm glad you brought it up because I want this to be really clear for everybody. So the agency had this data submitted on the 5th and they've reviewed preliminarily and they know whether or not this would potentially change their view and if they want to evaluate it because it's attractive. Statistically, very few people come out of a Type A meeting and get to resubmit new data. So this Advice Letter will let us know if they believe its material enough to impact and potentially change the course of 04 for approval. And as you know statistically when you resubmit new data and they review it and then want to do a deep dive, which will be the case here, statistically the odds are very, very good for the company. If the timeline comes back because this is not under PDUFA and it would not be a priority until we reach file and we don't like the timeline I believe that would be grounds for us to move to dispute. I don't feel we need the new data given what's going on out there today with much higher doses as I've explained so both are possible outcomes. And I'm glad you brought that question up, so I could clarify for everyone.
Bill Tanner: And then Rob, [indiscernible] data base carry no weight or they wouldn’t appear to carry weight and one would think that you've got massive numbers of observations for – massive numbers of treatments that presumably have not yielded any observations or many observations. So why would they not feel comfortable relying somewhat on their own data?
Robert Finizio: Well, we actually asked about that in the meeting and the agency as we stated in the script said that they do not see any public data with the currently marketed products. I think what the agency is looking for is a real world usage over a long period of time. I think what also was new to them is that the lower third of the vagina does not have a first pass effect and we're uniquely positioned there as the only product that's attribute as Brian designed it. So if that answers your question, I think the errors database is what you're saying it is. It is not have a safety signal in the data and I think that's just another supportive reason for us if we have to go to dispute.
Bill Tanner: And my last question then is it come up, as there is a theoretical concern that even though 004 is intended for the lower third of the vagina could be inadvertently placed in the upper third and then perhaps expose a woman something pharmacology or PK that's going to be different than if used appropriately.
Robert Finizio: No, that wouldn’t be the case. In fact, if you look at the products put in the upper third of the vagina, like Vagifem that did a one year study. They didn't have any incidence of endometrial hyperplasia are not to pull it off the market. The labeling is appropriate, it warns the use of a progestin and it might be needed. And I think that that's the actual case endpoint, if these higher dose products are being placed there and we don't had a safety signal on those products, why would a lower dose, the product that's not placed there that's non-systemic and is 175 or 125 of the dose was there need this actual data, especially under 505(b)(2).
Bill Tanner: Got it, okay.
Robert Finizio: It’s a real strong case, we believe, we believe.
Bill Tanner: Yes, all right. Thank you.
Robert Finizio: Thank you.
Operator: And our final question comes from the line of Matthew Andrews from Jefferies. Your line is open.
Matthew Andrews: Hey, good afternoon. Rob, first one for me. And reviewing the minutes of the June 14 meeting with the agency, are you in agreement with – the written contents of those minutes are there any – is there any discrepancy or disagreement with what the agency reflected to you in writing?
Robert Finizio: No, not really, not that I'm aware of, none. I got to – I just got to tell you, the agency has been supportive given our situation, they’ve been really good, they just have – they’re working hard to get us what we need, they realize the lack of communication and the oversight. Administration is involved and we're hoping that thing just moves forward at a time table with a process – they have a couple for both and I've got to tell you it's not at a serial at all, it actually feels really good and if anything we're building a great relationship 401, so it's just feels good. I’m just really honest with you, they don't have to give an Advice Letter, nor do they for 99.9% of products.
Matthew Andrews: So on that point, sorry to ask the obvious but I'm not familiar with that, what an Advice Letter is I've never heard that term. So if you could perhaps describe it, there's some sort of guidance document we can look at. And then second working with your ex-FDA consultants, is there any present case you can point to where drugs gone through, this process they've gotten an Advice Letter and it's been approved.
Robert Finizio: I'm sure we can find some. So it is a formal communication letter and I don't have much off the top of my head, I believe this division, there have been some products to dispute that have been approved. I'd also believe there is also been in the agency as of recent and we'll dig a couple up for you, where new relevant information has come up and it's been filed. And when they take new information into consideration is very – it's most times very good for the company and the outcome of the company for the sponsor but to answer your question, what is a formal Advice Letter is a communication letter to kind of fill in the gaps and give you something on record where appropriate. In this case since there has been a breakdown in the communication with the agency, I think one of their ways to fix it is to give it something in writing with a timeline. And we're hoping that's what we get and we're going to get it, we believe we've been told in the next week, which is a very near-term catalyst. And we will certainly get on the phone and update people as soon as we can.
Matthew Andrews: Okay, great. Thank you.
Robert Finizio: Thank you, Matt.
Operator: And no further questions at this time, I would like to turn the call back to Robert Finizio, Chief Executive Officer for further remarks.
Robert Finizio: So thank you everyone for joining the call. We look forward to providing a more specific broader regulatory update in the very near future for TX-04 until that time. Thank you for joining.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today's program. You may all disconnect. And everyone have a great day.